Operator: Good day. And welcome to the Americold Realty Trust Third Quarter 2021 Earnings Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Scott Henderson, Senior Vice President. Please go ahead.
Scott Henderson: Good afternoon. Thank you for joining us today for Americold Realty Trust’s Third Quarter 2021 Earnings Conference Call. In addition to the press release distributed this afternoon, we have filed a supplemental package with additional detail on our results, which is available in the Investor Relations section on our website at www.americold.com. This afternoon’s conference call is hosted by Americold’s Chairman of the Board of Trustees, Mark Patterson, Chief Financial Officer; Marc Smernoff; and Chief Commercial Officer, Rob Chambers. Please note for this call, we will not be taking questions after the prepared remarks. On today’s call, management’s prepared remarks may contain forward-looking statements. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. A number of factors could cause actual results to differ materially from those anticipated. Forward-looking statements are based on current expectations, assumptions and beliefs as well as information available to us at this time and speak only as of the date they are made and management undertakes no obligation to update publicly any of them in light of new information or future events. During this call, we will discuss certain non-GAAP financial measures including core EBITDA and AFFO. The full definitions of these non-GAAP financial measures and reconciliations to comparable GAAP financial measures is contained in the supplemental information package available on the company’s website. Now I will turn the call over to Mark Patterson.
Mark Patterson: Thank you, Scott. Before Marc Smernoff discusses our third quarter results and update to the balance of the year, I want to take a few minutes to walk through today’s announcement regarding our leadership change. Today, we announced that the Board has appointed George Chappelle as Interim Chief Executive Officer. George brings over 35 years of experience in the food and beverage and consumer packaged goods industries as well as decades of experience in supply chain logistics, operations and information technology. Previously, George served in various executive leadership roles at Tyson Foods, including Chief Operating Officer of their Prepared Foods division. he served as COO at several leading consumer packaged goods companies, including AdvancePierre Foods, and Solotech company. He also served as the Chief Supply Chain Officer and Chief Information Officer at Serra Le Foods. In his capacity as Chairman of the Board of Agro Merchants, we work closely with George in connection with that acquisition, we’ve been deeply impressed by a strategic mindset, operational acumen and strong leadership skills. Having spent time as a customer, competitor and partner, George knows our industry inside and out and has unique insights into our company. He is aligned with our disciplined strategy around serving our customers, engaging our associates and creating shareholder value. In addition, we welcome George -- in addition to welcoming George to our Board, we also welcome Pam Kohn and Rob Bass. Pam is a Chief Merchandising Officer of Sally Beauty Holdings and has more than 25 years of merchandising, supply chain, logistics and operations expertise in the food and retail industries. Prior to joining Sally Beauty, Pam served as Chief Merchandising and Marketing Officer of the Family Dollar division of Dollar Tree. She also spent 13 years in a variety of executive leadership positions at Walmart. Rob Bass currently serves as the Chief Supply Chain and Global Properties Officer of Best Buy and brings nearly 2 decades of experience in global supply chain and operational roles with leading big-box retailers. Rob also spent more than 12 years in a variety of supply chain positions with Target Corporation. These trustee appointments grow on a strong track record of refreshing our Board with members who bring relevant experience to business. Additionally, today, we announced that Fred Boehler has departed the company and resigned from the Board. On behalf of the entire Americold team, we thank Fred for his years of leadership and service to the company. We wish him the best. Fred’s departure is not related to any disagreement with the Board or members of management concerning corporate strategy, or financial or accounting matters. We’ve retained a nationally recognized search firm to assist us in the search for a permanent Chief Executive Officer. We’re focused on working efficiently while taking the time we need to find the best leader to take Americold into the future. We’re confident that this leadership change comes at the right time for Americold and that George is the right person to lead Americold through this period of transition. None of these changes impact who we are and what we do, the scale and scope of Americold’s network makes us a critical partner in our customer supply chain and present compelling opportunities for continued revenue growth and enhanced profitability. Americold has a best-in-class infrastructure, a differentiated business model and talented and committed employees. I remain excited about the company’s long-term prospects -- the long-term process of this great conference. And with that, I’d like to turn it over to Marc Smernoff.
Marc Smernoff: Great. Thank you, Mark, and good afternoon, everyone. End consumer demand for temperature-controlled food remains strong, driven by net population growth, combined with the end consumers’ increasing preference for fresh and frozen food. However, we continue to experience the ongoing effects from COVID-related supply chain and labor disruptions. To discuss how these disruptions are impacting our business and the actions we are taking, let me introduce Rob Chambers, our Chief Commercial Officer.
Rob Chambers: Thank you, Marc. Beginning with the revenue side. Our physical occupancy improved sequentially versus the second quarter, in line with our expectations and consistent with normal seasonality, but remains below third quarter 2020 levels, and well below pre-COVID levels for a typical third quarter. Our current physical occupancy levels in our U.S. portfolio are consistent with holdings in the overall U.S. cold storage industry which can be seen in the USDA industry data we referenced in the past. Ongoing conversations with our food manufacturers indicate that production volumes are expected to increase over time. Many of our customers are seeking to improve their inventory positions to better support their retail and foodservice customers. Last quarter, as we shared, we conducted a formal survey of our top 50 customers. At the time, many of our manufacturing customers were producing at approximately 80% to 85% of pre-COVID levels, and we’re not expecting to reach normalized inventory levels until mid-2022. Since then, we received updated survey results. Our customers are still producing at these levels, but many are now targeting second half 2022 as a time frame to reach normalization. As we’ve discussed, food manufacturers will need to run at elevated production for a period of time to replenish inventory levels throughout the supply chain, which is how we define normalization. Finally, through all this short-term disruption, we remain confident in the global demand for all types of food in our diverse portfolio, and we are confident that food manufacturers will return to pre-COVID inventory levels as end consumer demand remains firmly intact. We’ve seen supply chain disruptions in the past, and inventory holdings have consistently recovered to normalized levels over time. Now turning to the cost side of the equation. As discussed in mid-September, inflation is impacting the global food supply chain, primarily due to unprecedented disruption in the labor markets. Recently, we saw numerous global manufacturers, retailers and distributors aggressively raise hourly wages for their employees, particularly those focused on the supply chain. As a result, we have raised hourly wages in many of our locations to retain our associates and recruit top talent. These increases ranged from 8% to 12% on average, with some markets significantly higher, reaching over 20%. Additionally, we have used more temporary workers and overtime, at substantially higher than normal costs in order to serve our customers. The cost of power has also recently spiked in many geographies within our global network, particularly in certain parts of Europe and the U.S. and we anticipate continued increases in the near term. As a reminder, labor and power costs together represent 70% to 75% of our total cost structure. Our active portfolio management process is designed to ensure appropriate levels of profitability for each customer across our portfolio. As such, we expect to recover most of the inflationary costs by increasing the rates we charge in our warehouse business. As of this call, we’ve initiated conversations or have taken action with the vast majority of our customers, and we’ve made significant progress agreeing to or implementing new rates reflective of today’s cost environment. We are confident that by the end of the first quarter of 2022, we will have materially rerated our warehouse business. In summary, we are dynamically adjusting our business to mitigate the impact of elevated inflationary pressures experienced across our portfolio. Both our food manufacturing and retail customers are seeing it in their businesses, and they, too, are increasing prices to help offset it. In addition to increasing rates, our Americold Operating System is driving efficiency and productivity to mitigate some of these cost increases. However, at the end of the day, we cannot offset all of it. End consumers are and will continue to pay higher prices for food, including fresh and frozen items. Now back to Marc to discuss our third quarter results and update for the balance of the year.
Marc Smernoff: Thank you, Rob. For the third quarter, we reported total company revenue of $709 million and total company NOI of $156 million which reflects a 42% increase and a 15% increase year-over-year, respectively. Corporate SG&A totaled $46 million for the third quarter of 2021 as compared to $36 million for the prior year, reflecting our external growth over the past year, net of synergies and a decrease in performance-based incentive compensation. Core EBITDA was $115 million for the third quarter of 2021, an increase of 10% year-over-year. Our core EBITDA margin decreased 474 basis points to 15.2%. Our third quarter AFFO was $70 million or $0.27 per diluted share, consistent with our internal expectations. At quarter end, within our Global Warehouse segment, rent and storage revenue from fixed commitment contracts increased on an absolute dollar basis to $346 million compared to $280 million at the end of the third quarter of 2020. On a combined pro forma basis, we derived 39.1% of rent and storage revenue from fixed commitment storage contracts. Now I will turn to our same-store results within our Global Warehouse segment. For the third quarter of 2021, our same-store Global Warehouse segment revenue was $374 million, up 2.3% year-over-year and 2% on a constant currency basis. Same-store Global Warehouse NOI was $117 million, down 5.1% year-over-year and a decrease of 5.4% on a constant currency basis. Same-store Global Warehouse NOI margin decreased 245 basis points to 31.4%. The ongoing disruption with food production compared with the challenging labor market and elevated inflation continue to weigh on our same-store results. For the third quarter, same-store global rent and storage revenue increased by 1.5% year-over-year and increased by 1.4% on a constant currency basis. This was driven primarily by rate escalations partially offset by a decline in economic occupancy. Our same-store economic occupancy was 76.5%, which reflects a decrease of 179 basis points from last year’s third quarter economic occupancy as we were impacted by reduced food production levels, yet stable consumer demand. The occupancy decline was partially offset by a 3.7% increase to our constant currency average storage rate per economic pallet driven by rate escalations and business mix. As previously noted, on a sequential basis, economic occupancy improved approximately 132 basis points from the second quarter, consistent with our expectations. Our same-store global rent and storage NOI increased by 3.4% year-over-year and 3.2% on a constant currency basis. This was due to rate escalations partially offset by lower economic occupancy and increased power and property insurance costs year-over-year. Same-store global rent and storage NOI margin increased 115 basis points to 63.5% due to the same factors. Same-store Global Warehouse services revenue for the third quarter increased by 2.9% year-over-year and 2.4% on a constant currency basis. This revenue growth was driven by rate increases in business mix, which increased our constant currency warehouse services revenue per throughput pallet by 4.3%. This was partially offset by a 1.9% decline in throughput. Our same-store Global Warehouse services NOI decreased by 35.5% year-over-year and 36.5% on a constant currency basis. This was primarily driven by higher cost of labor and warehouse supplies due to the elevated inflation. Same-store warehouse services NOI margin was 8% for the quarter, a decrease of 487 basis points from the prior year. Within our Global Warehouse segment, we had no material changes to the composition of our top 25 customers who account for approximately 49% of our Global Warehouse revenue on a pro forma basis. Additionally, our churn rate remained low at approximately 3% of total warehouse revenues. Now turning to external growth. Today, we announced the expansion of our Spearwood, Australia facility for a total investment of approximately $42 million. Two large current customers are anchoring the expansion. In September, we completed our expansion in Calgary, Canada and received our certificate of occupancy. This project is on track to stabilize as previously disclosed. Turning to Rochelle. After evaluating our automation partners recommendations, we are investing an additional $10 million to $11 million into Rochelle’s automation in order to improve the performance and stability of the systems. We expect this work to be done over the next 12 months. While we still expect the project to stabilize in the fourth quarter of 2022, we’re revising our yield to 7% to 9% coming out of the stabilization date due to the increase in our cost basis and the current market environment. Additionally, with respect to our recent Savanna bill, given the same broad market dynamics affecting our entire portfolio, we are now expecting this facility to generate a revised yield next year of 7% to 9%. With regard to our 7 global development projects in process, 4 of which are dedicated build-to-suits. Our expectations remain in line with our underwriting and previously communicated disclosures. Turning to acquisitions. On September 1, we closed on the previously announced acquisition of Newark Facility Management. Regarding the previously announced acquisition of Lago Cold Stores in Brisbane, Australia, we have received regulatory approval and expect to close later this year. Finally, subsequent to quarter end, we entered into a purchase agreement to acquire a newly completed cold storage facility in Denver, which we expect to close in November for a total investment of approximately $59 million. This facility replaces a lease facility that expires at the end of the year. All of these investments were or will be match funded using a combination of cash, equity forwards that we have previously raised in our multicurrency revolver. Now turning to our balance sheet and capital markets activity. During the quarter, we exercised $5.7 million of previously raised forward shares for approximately $206 million in net proceeds to help fund our developments and acquisitions. At quarter end, total debt outstanding was $3 billion. We have total liquidity of approximately $810 million, consisting of cash on hand, revolver availability and $55 million of outstanding equity forwards. Our net debt to pro forma core EBITDA was approximately 5.5x. Turning to our full year 2021 guidance where our affirming full year 2021 AFFO guidance of $1.15 to $1.20 per share. As a note, achieving the high end of our guidance would result from macroeconomic factors driving an improvement in food manufacturing, which would result in higher levels of occupancy and throughput. Additionally, the high end of the range implies an accelerated realization of the benefit of re-rating our warehouse business. Further, the low end of guidance implies wage and inflationary costs running at elevated levels above our expectations. Our same-store revenue and NOI guidance ranges remain unchanged. At this time, we are updating our development starts to be in the range of $153 million to $175 million. Please refer to our supplemental for detail on additional assumptions embedded in this guidance. Please keep in mind that our guidance does not include the impact of acquisitions, dispositions or capital markets activity beyond that, which we have previously announced. In closing, we are proud of the significant progress we have made to mitigate the unprecedented inflationary pressures our industry is facing. As we look forward, Americold will continue to benefit as we fully integrate recently completed acquisitions, deliver and ramp our development projects. Lastly, based on our conversations with our customers, we are encouraged by their expectation to return to normalized inventory holding in the back half of 2022. We would also like to welcome the Newark associates to the Americold family. We again want to thank all of our associates, especially our frontline team members for their hard work and dedication. We look forward to speaking with many of you next week at NAREIT.
End of Q&A: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.